Operator: Good morning, and welcome to the Fourth Quarter 2020 CPI Aerostructures Earnings Conference Call. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Ms. Jody Burfening, LHA Investor Relations Counsel. Please go ahead. 
Jody Burfening: Thank you, Jason, and good morning, everyone. Welcome to CPI Aerostructures Fourth Quarter 2020 Earnings Conference Call. With me on the call this morning are Doug McCrosson, President and Chief Executive Officer; and Tom Powers, Acting Chief Financial Officer. 
 The earnings press release, which was issued earlier this morning and a slide presentation, which management will refer to during their prepared remarks, are available in the Investor Relations section of the company's website at www.cpiaero.com. At the conclusion of their prepared remarks, management will hold a Q&A session. 
 As a reminder, this conference call will contain forward-looking statements that are based on current expectations of management and certain assumptions that are subject to risks and uncertainties. There can be no assurance that such risks and uncertainties will not affect the accuracy of the forward-looking statements or that actual results will not differ materially from the results anticipated in the forward-looking statements. 
 Included in these risks are risks related to the restatement of the company's prior period consolidated financial statements and material weaknesses in the company's internal controls; any adverse developments in existing legal proceedings or the initiation of new legal proceedings; the company's continued compliance with New York Stock Exchange American listing rules; the effect of economic conditions in the industries and markets where the company operates, including the financial market conditions, the impact of COVID-19 pandemic, including its impact on global supply, demand and distribution capabilities as the outbreak continues; the financial condition of the company's customers and suppliers; the cyclicality of the aerospace market, the level of U.S. government defense spending, including changes or shifts in defense spending due to budgetary constraints; spending cuts resulting from sequestration; the allocation of funds to government responses to COVID-19 or changing political conditions and uncertain funding program; the ability of the government and the company's other customers to terminate contracts at any time; production rates for commercial and military aircraft programs; competitive pricing pressures; start-up costs for new programs, technology and product development risks and uncertainties; product performance and costs resulting from changes to and compliance with applicable regulatory requirements; level of indebtedness and cash flow from operations. 
 Additional information concerning these and other risks can be found in the company's annual report on Form 10-K for the year ended December 31, 2020, and the company's other filings with the Securities and Exchange Commission. 
 Because the risks, assumptions and uncertainties referred to above could cause actual results or outcomes to differ materially from those expressed in any forward-looking statements. Listeners are cautioned not to place undue reliance on such forward-looking statements, each of which speaks only as of the date made. The company has no obligation to update any forward-looking statements to reflect events or circumstances after the date hereof. 
 With that, I would now like to turn the call over to Doug McCrosson, President and Chief Executive Officer. Good morning, Doug. 
Douglas McCrosson: Good morning, and thank you, Jody, and good morning, everyone. Thank you all for joining us this morning for our fourth quarter and 2020 year-end earnings call. 
 Before I begin, let me take a minute to recognize the effort of our accounting staff and other members of the team who are essential in closing the fiscal year and endured many personal challenges with COVID-19, especially during January and February. 
 For those of you that got ill, we are grateful for your recovery. And for those that had to pick up the workload during those trying times, we are appreciative of the extra effort. 
 The 10-K for the period ended December 31, 2020, was filed last night, and we expect to remain in compliance with regulatory requirements for the SEC and NYSE. 
 For our call today, I will start with a review of our performance for the fourth quarter and provide my perspective on the full year results. I will then turn the call over to Tom for a detailed review of our financial results for the fourth quarter. Then I will offer some concluding remarks before opening the line to questions. 
 For those of you who have been following CPI, you are no doubt familiar with the many challenges we faced in 2020. Not only were we managing through the operational complexities associated with the COVID-19 pandemic, but we also tackled the multi-period financial restatement and time-consuming legal challenges related to the restatement. 
 Against this backdrop, we kept our nose to the grindstone. We focused on executing our defended -- our funded defense backlog, and the results we are reporting today testify to our achievements in the fourth quarter and full year 2020. By our, I mean, not only our dedicated and talented workforce, but also our very engaged and active Board of Directors, which provided much appreciated guidance to me during the most tumultuous time I can remember during my professional career. 
 Back in early 2020, at the beginning of the pandemic, the Board created an Oversight Committee that reports to our Chairman and works closely with my executive staff and me. While created to help us manage our way to the other side of what we thought would be a short-term challenge, in actuality, the Oversight Committee is still functioning today and offering valuable counsel and encouragement while holding my executive team and me accountable for results. The Board and I are proud of our collective response to the events of 2020, and I am pleased to share the results with you all today. 
 Turning to Slide 4. We delivered on our promise to end the year on a high note, driven by increased production tempo of newer defense programs and solid execution on our legacy programs. Total revenue in the quarter increased nearly 12%, and revenue from military programs increased nearly 13%. 
 Gross profit nearly doubled over last year's fourth quarter, and gross margin expanded 730 basis points to 18.2%. The bottom line improved to a $1.3 million net profit, a swing of $2.7 million from the $1.4 million net loss we reported last year. And we delivered solid fourth quarter earnings of $0.11 per diluted share compared to a loss of $0.12 per share last year. 
 In addition, as we did throughout 2020, we continued to prioritize liquidity over revenue. We saw continued improvements in our processes to shorten the cash flow cycles of our major programs through a setting of working capital management tools developed in 2020. These tools lean out the manufacturing process to compress build schedules and more closely manage the flow of inventory into the factory such that materials arrive now as close to the point of use as possible. 
 The result is a system that enables quick reaction to unplanned changes in supply of components, customer demand or both. This was critical given the uncertainties caused by COVID-19. 
 Reflecting a priority given to liquidity, we deferred more than $1 million of material costs planned for the fourth quarter into early 2021. Under percentage of completion accounting rules, incurring less cost means recognizing less revenue and profit. We estimate that this decision had the effect of recognizing approximately $2 million less revenue and the related profit in the fourth quarter than we would have had we incurred those costs in 2020. 
 You may be wondering why 2020 cash flow from operations was $1.2 million less than in 2019 despite our focus on working capital. As I have reported before, 2019 benefited from an approximately $3.2 million tailwind caused by a customer overpayment that was fully repaid during 2020, creating a headwind to reported 2020 cash generation. 
 Our repayment to this customer was completed during the third quarter of 2020. Had this customer not overpaid us in 2019, reported results for that year would have been $3.6 million use of operating cash. And for 2020, we would have reported positive cash from operations of $1.6 million, a swing of about $5.2 million on essentially the same revenue. 
 On Slide 5, I want to touch on a few points about our full year results. First, as you can see from the bridge chart on the left side of the slide, we grew revenue from military programs by $10.5 million, which was just slightly larger than the decline in revenue from commercial aviation programs. 
 As a result, revenue from military programs increased to 90% of total revenue from 79% of total revenue for 2019, a mix shift that points to the success of our strategy to focus on military contracts and our business development efforts. This mix shift also drove a significant increase in gross profit and a 340 basis point expansion in gross profit margin year-over-year, especially as we exited an unprofitable business aviation program and got a boost from some military work transitioning to full production rates. Reducing our exposure to commercial aviation programs has also helped reduce our upfront inventory investment and improve working capital management. 
 Second, turning to the chart on the right side of the slide. You can see that revenues surged in the second half of the year relative to the first half, as we had expected, based on the timing of ramping up production of newer military programs. 
 Turning to Slide 6. We ended the year with a total backlog of $476.2 million, down around 15% year-over-year due in large part to our exit from an unprofitable life of program business aviation contract. This program had been a drag on cash flow and earnings for several years, so it's very positive for the company despite the impact of total backlog, 96% of which now consists of multiyear contracts with our defense industry customers. 
 The strategic pivot toward a more defense-weighted program is more than 5 years in the making, and we believe we are now at an inflection point. We have earned a nationally recognized and award-winning reputation with defense OEMs for our capability to manufacture highly complex, sophisticated aerostructures and aerospace systems. 
 As a reminder, when we refer to total backlog, we mean the total potential value of all of our programs through their respective periods of performance. Funded backlog is the revenue yet to be recognized on firm purchase orders with customers. 
 During 2020, funded backlog increased $21 million to $169.6 million, of which 98% is for defense markets. Approximately 56% of the funded backlog is expected to be recognized as revenue during 2021. 
 At year-end 2020, our funded defense backlog consisted primarily of orders with Northrop Grumman for the E-2D Outer Wing Panel Kits program; with Lockheed Martin for structural assemblies for the Black Hawk helicopter, F-35 and the F-16 fee; with Boeing for the A-10 rewing program; and direct orders with the U.S. Air Force for T-38 life extension program components. 
 Our book-to-bill ratio for the 12 months ended December 31 was 1.24, and this follows a very strong year in 2019 when book-to-bill was 1.29. For those who may be unfamiliar with the term book-to-bill, this ratio compares the value of orders received to the value of revenue recognized during the period. The higher the ratio, the stronger the demand for your product. 
 Ratios higher than 1 generally indicate that revenue is expected to grow in the future. In our case, for 2020, for every dollar of revenue we recorded, we booked $1.24 of new funded orders. In 2020, that translates to booking new funded orders totaling more than $108 million. 
 Moving to Slide 7. Our business development team is hard at work building a pipeline of new opportunities to maintain our strong total backlog, and our proposal activity remains very strong as we head into 2021. Our pipeline consists of opportunities for follow-on awards to current programs as well as brand-new opportunities aligned with national security priorities, including electronic warfare, intelligence, surveillance and reconnaissance, advanced missile technologies and large-scale autonomous systems. 
 We have already submitted or will soon be submitting proposals for electronic warfare pods. Some of these are for follow-on contracts where CPI Aero was the incumbent, and one is for an entirely new system for which there is no incumbent. We believe that our customers will make awards on each of these competitions within the next few months. 
 We are also leveraging the subsystem integration and complex assembly experience gained from our pod manufacturing programs to bid on programs with OEMs of autonomous systems. We are currently responding to a couple of RFQs for work on unmanned systems. And if successful, this would represent our first order for product used on an unmanned system. 
 Finally, we are leveraging our experience in advanced missile structure to determine how CPI Aero can play a role within the emerging military and commercial space market. While market conditions currently favor defense opportunities, we believe that our capabilities will be in strong demand by commercial aviation customers as the commercial market recovers, and we'll be ready to capitalize when that time comes. 
 I'll now turn the call over to Tom Powers, our acting CFO, who will walk you through our financial results for the quarter. Tom? 
Thomas Powers: Thank you, Doug. Please turn to Slide 9. Starting with the quarterly results on the left side of the slide, revenue for the fourth quarter of 2020 increased 11.9% to $25.4 million compared to $22.7 million for last year's fourth quarter. Revenue from military contracts increased by 12.9% to $23.4 million, while revenue from commercial aviation contracts was essentially flat from last year at just under $2 million. 
 Gross profit nearly doubled to $4.6 million compared to $2.5 million due to higher revenue and a more favorable program mix. Gross profit margin expanded 730 basis points to 18.2%. 
 On the strength of the gross profit gains, net income for the fourth quarter was approximately $1.3 million or $0.11 per share compared to a net loss of $1.4 million or $0.12 per share for the fourth quarter of 2019. This is an improvement of $2.7 million or $0.23 per share. 
 Finally, cash flow from operations for the fourth quarter was $1.7 million compared to $3.7 million for the fourth quarter last year. Recall that 2019 benefited from a roughly $3.2 million tailwind due to a customer overpayment that became a headwind to cash during 2020 as we repaid the customer. The overpayment was fully paid back during 2020. 
 On the right side of this slide, we present the financial highlights for the full year of 2020 compared to audited figures for 2019. As Doug mentioned earlier, revenue for the year was essentially flat with gains in revenue from military contracts nearly offset by lower commercial aviation revenue. 
 Gross profit increased 30.5% to approximately $12 million. And the gross profit margin expanded 340 basis points, reflecting more favorable mix of military programs and our exit from unprofitable commercial programs, partially offset by lower volume on our Raytheon pod program. The net loss was narrowed to $1.3 million or $0.11 per share compared to a net loss of $4.5 million or $0.38 per share for 2019. 
 Turning to Slide 10. We present a few of our key balance sheet accounts at December 31, 2020, compared to December 31, 2019. Cash stood at $6 million compared to $5.4 million at December 31, 2019. 2019 balance sheet had $1.4 million in restricted cash, which was the amount held in escrow related to our 2018 acquisition of Welding Metallurgy. In December 2020, we entered into a settlement agreement with the seller of Welding Metallurgy, which resulted in the release to CPI Aero of the $1.4 million held in escrow as was received on December 28, 2020. 
 Net contract assets and liabilities stood at $18.1 million compared to $11.7 million at December 31, 2019. The increase reflects working capital growth to support our expected revenue growth in 2021 and the repayment of the customer overpayment during 2020. 
 Total debt stood at $28.7 million, excluding the $4.8 million loan we received under the Paycheck Protection Program provision of the CARES Act. During the year, we reduced our debt by $2.3 million. As of December 31, 2020, we were in compliance with all the covenants contained at our amended bank united credit facility. 
 Now I'll turn the call back to Doug. 
Douglas McCrosson: Thank you, Tom. Please now turn to Slide 12 for a review of our 2021 priorities and outlook. In 2021, we intend to maintain our focus on operational excellence as we execute on our funded backlog. Internally, we expect about 95% of revenue for 2021 will come from deliveries against the funded backlog we had at the end of 2020, with 20 defense programs each contributing more than $1 million in revenue. 
 For context, in 2019, just 13 military programs contributed more than $1 million in revenue. Several programs are expected to drive revenue growth in 2021. Some are growing because of ramping production rates such as, for example, the Next Generation Jammer Mid-Band pod we produce for Raytheon as we start production of the system development and test articles phase of the program. 
 This project has the potential to be our largest growth program, and we are on plan to soon deliver the first of 16 SDTA pods we expect to deliver in 2021. 
 We also plan to reach first delivery milestones on several programs during 2021. We announced recently that we shipped our first assembly of F-16 Rudder Island and Drag Chute Canister assemblies to Lockheed. Later this year, our plan is to deliver the first main landing gear pod assemblies to Boeing against purchase orders totaling more than $20 million to support their A-10 rewing program. 
 Other programs that will contribute to revenue are new starts in 2021. For example, we expect to be commencing work this year on the undisclosed radar pod we announced in March as well as to begin work on a second as yet unannounced radar pod. 
 In addition, the contract we announced in January with Raytheon Missile Company is likewise expected to generate meaningful incremental revenue in 2021. We also intend to maintain our focus on improving liquidity by continuing to compress manufacturing cycles and converting contract assets and inventory into cash. 
 In 2021, we are especially focused on improving inventory turns for our welded products and our repair and overhaul product lines. In contrast to the bulk of our business that consists of long-lived complex programs, these product lines are typically quick-turn sales, and we generally do not receive customer contract financing on the material we purchase. We believe that we have ample opportunity to turn inventory into cash by streamlining the production process and increasing production output from these work sales. 
 Finally, as discussed on earnings calls last year, the steps we are taking to optimize our working capital requirements have the added benefit but generally leading to higher profit margins as products are manufactured more efficiently. We expect a reduction in overhead rates in 2021 as new contracts begin production and existing programs ramped to higher rates, causing an increase in the direct labor base. 
 And remember, in 2020, we spent nearly $1 million in advisory fees and added audit fees directly related to the restatement of prior reported results that are not expected to occur again, providing further operating leverage that is expected to benefit the bottom line. 
 Based on the momentum we will realize in the second half of 2020 and our confidence in our ability to deliver against the funded backlog, our goal is to deliver higher revenue, improved profitability and cash flow in 2021 compared to 2020. With cash flow generation governing our day-to-day operation decision-making, we have our sights set on improving our financial profile in 2021 and setting the stage for an even more improvement in 2022. 
 In closing, 2020 was a real gut check. A year like that test your ability to overcome obstacles and requires that you zero in on what is really important for your business. 
 I've always been amazed at the talent, experience and dedication of our employees. Once the pandemic began, I knew that this group would step up, and step up, they did. I especially thank the men and women that were essential to keeping the production lines going. 
 Designated by our government as essential workers, they came to the factory every day and acted heroically and unselfishly so that our customers could keep producing the aircraft we need to defend our nation. We all owe them our respect and our thanks. 
 Despite numerous challenges, we delivered significant improvements in our financial performance for the fourth quarter and full year 2020 compared to the same periods last year. During the second half of 2020, we began to see the fruits of our defense-centric business development strategy that we initiated in 2015, and we expect to sustain momentum in 2021. 
 We have worked hard to establish a reputation as a best-in-class supplier of complex assemblies and systems to defense contractors, earning their trust as sole suppliers in many cases and expanding our book of business with them. Our strategy is clear. Our priorities are defined. Our goals are lofty but achievable, and we are increasingly optimistic about the future. 
 Jason, you can open the line for questions now. Thank you. 
Operator: [Operator Instructions] Our first question comes from Ken Herbert from Canaccord. 
Kenneth Herbert: First, Doug, I just wanted to see if we could get a little more specific on the gross margin assumptions in '21. I know you're not giving a lot of detail on the guidance, but over 20 -- because of a lot of the unusual items and everything going on, you had a really nice sort of improvement in gross margins across the quarters. Is this 18.2% the appropriate launching point as we think about '21? Or how should we think about the cadence of gross margins through the year and how -- maybe where they start out and where they could end? 
Douglas McCrosson: Okay. So I would say that between the third and fourth quarter of 2020, that is from a top line perspective, kind of what a typical quarter might look like in 2021. On the margin side, I would have to say that we have a lot of new start programs. I mentioned a few of them in my prepared remarks. That might -- so we might be lower than at 18%, maybe not appreciably lower, but somewhere between where we ended now and 18% for 2021. 
Kenneth Herbert: Okay. Okay. Great wide range there, but I appreciate that. And can you talk a little bit about -- so you just provided a little more detail on sort of the top line and how it shakes out for the year. Is there anything noticeable in terms of the cadence of the top line? I mean with some of these new program starts and the timing of the backlog that we see, perhaps an acceleration in the growth in the second half? Or how do we -- how should we think about the framework for the top line? 
Douglas McCrosson: The way it appears now is that we don't necessarily see a similar pattern like last year, where we knew going into 2020 that the beginning half of the year was going to be much less active than the second half of the year. We're -- we've started '21 pretty strong, and I would say that it kind of stays like this for the rest of the year. I don't think we're going to have a lot of, I'll say, a back-ended year this year. And that's the way it's looking now anyway. 
Kenneth Herbert: Okay. And in the guidance for an improvement in cash from operations in '21, is that looking at the revised '20 estimate when we back out the customer refund? Or what's the starting point for that comment on the cash flow? 
Douglas McCrosson: Well, the comment was really related to the GAAP results we just reported. But I would also envision it being stronger than the -- I'll say, the modified result I just presented. 
Kenneth Herbert: Okay. Perfect. And just one final question. Can you quantify the backlog impact from the business jet program exit in the quarter? 
Douglas McCrosson: It was roughly $30 million to $40 million. I don't have the exact number, but it was a significant number. 
Operator: [Operator Instructions] This concludes our question-and-answer session. I would like to turn the conference back over to Doug McCrosson, CEO, for any closing remarks. 
Douglas McCrosson: Okay. Thank you all for participating in today's call. And Tom and I look forward to speaking to you again when we report the results for the first quarter of '21. Thank you. Have a great day. 
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.